Operator: Good morning ladies and gentlemen. And welcome to Gafisa's Third Quarter of 2020 Results Conference Call. Today, with us, we have Ian Andrade, Investors Relations Officer VP of Finance and Guilherme Benevides, Operations VP. Mr. João Pedro Figueiredo, Corporate Law and Corporate Governance Manager and Mr. Daniel Fiena [ph] Investor Relations Manager will also be present at the Q&A session. We would like to inform you that this presentation is being recorded. [Operator Instructions]. Before we begin, I would like to inform you that the management's statements involve risks, uncertainties and may refer to future events. Any changes in macroeconomic policies or laws and other operating results may affect the company's performance. Now I would like to turn the floor over to Mr. Ian Andrade to start the presentation. Mr. Ian Andrade, good morning. The floor is yours.
Ian Andrade: Thank you very much. And good morning, everybody. Thank you very much for participating in our 3Q 2020 earnings results call. I would like to thank you for your interest and your time, to learn more about our journey.3Q 20 brings the consistence recovery of operating results in the company highlighting sales, launches, construction works, delivery and land acquisition. We recorded the best sales performance over the past two years, totaling R$144 million in sales, reflecting 253% quarter-on-quarter increase. It is worth mentioning that the same increase in sales also applies to the year-on-year comparison. We showed once again how consistent our plan is and our ability to deliver. We delivered two launches with a R$140 million PSV with 7 projects delivered this year. The occupancy permit was obtained for 2 projects in the fourth quarter. And we now have 2 projects to deliver in 2020, totalling 10 projects with almost R$1 billion in PSV and 1500 units to be delivered in 2020. Guilherme Benevides will give you good news about delivery for 2021 and we already have the occupancy permit and we're going to deliver it this year. We are going to deliver that project ahead of schedule. When it comes to launches, we are now resuming the increase in a significant way after three years without new launches, we resumed launches in the third quarter of 2020, with Chez Perdizes, High Line Jardins, and Normandie Moema projects, totaling a PSV of R$264 million, all of them located in high-valued regions, with good liquidity in the city of São Paulo. Subsequently to the end of the third quarter, all these three launches today report healthy levels of sales, 20% in Chez Perdizes, 45% in High Line Jardins, and 60% in Normandie Moema. For the fourth quarter, we have other three launches totaling R$875 million in PSV, highlighting the new launches in Rio de Janeiro with Cyano Barra project with R$570 million in PSV and in Campo Belo, in the city of São Paulo with R$262 million in PSV. They are iconic projects and then bring our G&A with differentiation. With all of those launches, we are going to have 6 launches in 2020, with over R$1 billion and PSV launched in 2020. And those launches are in the second half of the year because of the pandemic. The launches are always happening in the second half of the year and we are already outperforming the level of R$1 billion in PSV after 6 months. Still when it comes to operating performance, in our core business we acquired two plots of land in São Paulo in the quarter, one in Vila Mariana district, with an estimated PSV of R$116 million and another in the Butantã district, with a PSV of R$162 million. Upcon also brought to our landbank an estimated of R$900 million. And we also concluded the negotiations to acquire four projects from Calçada S.A., with an approximate PSV of R$747 million, and the acquisition of the last plot of land at Avenida Delfim Moreira, definitively sets Gafisa’s return to the city of Rio de Janeiro, with differentiated projects. We exceeded R$3 billion with the Upcon projects Calçada and the acquisitions that we have performed in the past years. And that will have an impact on our results for the next 18 months, bringing our results to a new level in line with our pursuit for higher performance in our core business related to real estate developments. Now, let's talk about the new initiatives and the markets. Here at Gafisa, we are convinced that we are reaching a new cycle of high growth in the real estate markets, with interest rates nearing the lowest historical levels, unparalleled credit market growth and development. Furthermore, as fixed income investments have low yield, or even negative, real estate investment has increasingly become relevance in the investment portfolio of individuals and institutional investors. Within this virtuous context of growth in the real estate market, and the assertive actions and its real estate development core business, Gafisa is executing its transformation to become a real estate platform to go beyond its core activity of real estate development. From its solid balance sheet, and its strategic plan, Gafisa set up a new line of business with Gafisa properties. We are also developing partnerships and investments in this start up’s to bring innovation technology and new services for Gafisa and its clients. Gafisa properties will own real estate assets to become profitable through leasing flows across the real estate spectrum, such as offices, residential units, shopping malls and hotels. And we are going to have a portfolio composed of Gafisa’s built assets or under construction for example, offices, stores and small residential units of upto 50 square meters and new acquisitions with a focus on non-replicable, locations and/or assets with turnaround opportunities. As far as innovation is concerned, we will apply our background and market expertise to pursue synergies and new business models according to a real estate ecosystem vision that transforms Gafisa’s real estate assets into business platforms to be explored throughout the real estate assets lifecycle, whether assets held by Gafisa properties or sold by Gafisa to its end clients. We are confident that these actions will allow the company to capture value for our shareholders and boost our growth in our core business but also in new businesses in a dynamic modern way that is aligned with the innovation that we have in our markets, bringing more dynamism in traditional sector such as real estate, and to a traditional brand, which is Gafisa. We are recognized by everyone in Brazil. Gafisa is a Brazilian brand, and we want to grow with new businesses in a dynamic, modern, innovative way based on real estate assets and in a low interest rate cycle. We believe that that is a very strong value proposition and we're going to pursue that business model and that type of growth. Now when it comes to the financial highlights, I believe that we have to highlight the improvements in our balance sheet and the de-leverage of our company. In one year, we went from 160% to 7% in that over shareholders equity, with the capital increase in August 2020, which brought to the company over R$280 million. When it comes to that, we have a cash of R$930 with receivables and our cash is now at a healthy level that covers the total debt level of the company. And we are going to show you later on in the presentation that 90% of that is related to projects under construction and being delivered according to their schedule. So besides having the equity to cover those debts, our operating flow of deliveries will be the source that will repay those debts, the gross debt that we have in our company. And according to our discipline, to preserve corporate cash today, all of construction works are in progress and launches made with financing contracted. We issued R$190 million in real estate receivable certificates, of which R$120 million were raised for construction products. And R$125 million contracted for future launches at Delfim Moreira and [Indiscernible] and we also have R$100 million to be contracted for other launches with projects real estate security interest. When it comes to backlog results and our financial highlights, I believe that the backlog margin is a highlight around 35%, which shows that we are at good levels, healthy levels, and it also show a consistent improvement although our gross margins decreased because of our conservative approach when it comes to provisions and the solutions, and also the pricing of old inventory. We also realized R$400 million in non-recurring accounting adjustments, with no cash impact, reflecting the discipline and good management practices of the current management in its efforts to conclude the company's legacy restructuring. It is also worth mentioning that even though we have been growing in the third quarter, we still continue to decrease our general and administrative expenses, there was a 15% drop in our recurring fixed administrative expenses. And now I would like to turn the floor over to Guilherme Benevides who will talk about our operating performance in the third quarter 2020. And I am going to talk about later on the financial results and financial highlights.
Guilherme Benevides: Hello, good morning. Thank you very much for your participation in our 3Q 2020 earnings conference call. On slide six, you can see the operating results of the company. You can see the launches in the third and fourth quarters, which will add up to R$1.1 billion across 6 launches, proving that we are able to grow consistently .By 15 November, 2020 the Chez Perdizes project sold 20% of its units, 45% in High Line Jardins, 60% in Normandie Moema, 30% in [Indiscernible] that shows that we are fully committed and our for sale is fully committed. And we have trained our sales force with over 400 employees to focus on sales. On slide seven, you can see the operational results the net sales. It is our pleasure to present an increase of over 240% in sales volumes of our inventory with R$144 million in 3Q 2020 against R$41 million in 2Q 2020. We also had an increase in our SoS of 2.3% to 10.3%, which shows that we are pursuing an improvement in that indicator every quarter. And on the right hand side, you can see that over 70% of our units under construction were sold and over 29% of our delivered units were sold. On slide eight, you can see our inventory. On the left, you can see the inventory that we have accumulated with 608 under construction and 388 in finished units. On the right, you can see the segmentation of into inventory by region. And out of the R$1 billion of total inventory 724 are residential, and 188 of office units in São Paulo, 136 in Rio de Janeiro and 30 in other regions, showing that we are present in the wealthiest city in the country. Now on slide nine, you can see our deliveries in 3Q 2020. We delivered Moov Freguesia and Uplife Interlagos in São Paulo with 3021 units delivered in the year with 150 million in PSV. Now on slide 10, you can see the schedule of expected deliveries, showing the ability of the company's management we have delivered 7 projects with a PSV of R$750 million and 1,196 units showing our commitment to our shareholders. We have already obtained the occupancy permits for two projects Moov Freguesia as Ian mentioned, we got the permits this year and we expect it to have it next year. And with that, we added 396 units in our deliveries. And we already have almost 95% of the PSV estimated for 2020 and 95% of that has already been delivered, or we already have the occupancy permits. And in 2020 we came back to Rio de Janeiro. And here we highlight four projects with approximately R$1 billion in PSV. The company is going back to Rio de Janeiro acquiring the best land plots in Rio, at Avenida Delfim Moreira to develop our luxury project. We acquired one of the last land plots that overlook the water, and it is a high end project we have already approved it. On slide 12, you can see our land bank for the short and medium terms in projects that have been approved or that are under approval, adding to R$1.2 billion and also recent acquisitions. And all of those plots of land amounts to an estimated PSV of R$1.7 billion. And I would like to re enforce our commitments to making Gafisa a thorough platform for products and services, through innovation and good results across the entire real estate ecosystem. Thank you very much for your participation and I will turn the floor over to Mr. Ian Andrade, CFO and IRO.
Ian Andrade: Thank you very much, Guilherme. Indeed, it's hard work that we have been doing and the results are very significant. So congratulations to you and your team. When it comes to our financial performance, let's go to our slide 14 to show you the numbers. Without any adjustments, without excluding the non-recurring effects of the adjustments made this quarter. Our revenue increased in 54% in recognition, and we recognize R$84 million in revenue, and this quarter, it was R$150 million with an 80% increase in the recognition of revenues reflecting the efforts of increasing our sales. And you can also see our gross profit on the right. The reduction in gross margin in 3Q 2020 is not necessarily an adverse effect of sales increase, which is naturally expected. When you increase sales, you have to decrease prices. But that's not the case here. That reduction in gross margin is caused by non-recurring accounting adjustments. We increased our allowance for bad debtors in R$7 million. And we're going to see in the next slide that our gross margin excluding that effect, and how that margin will behave in the future. And we are going to analyze our backlog margin later on. When it comes to the net profit, we also have effects of R$40 million from accounting adjustments. And most of that is related to the points of sale as I mentioned, and other adjustments in suppliers and payments who owed suppliers. They are non-recurring and non-cash effect adjustments. And they were caused by adjustments that we needed to do in our legacy. And we are addressing that and we are finishing the restructuring of our legacy and those effects will no longer impact our results in the future. Now when it comes to legal, over the past months, we finished over 500,000 lawsuits in the company and we have a number of platforms and initiatives. And for us past forces including squads in the Agile methodology, working multidisciplinary, where we have lawyers, finance people negotiators, and they are working very hard on negotiating in an interdisciplinary way. And it is being addressed, that problem is being addressed. And we have the target of solving 202,500 [ph] lawsuits by the end of the year. So we're going to decrease 25% of the lawsuits that we have. And we are comfortable. And I would like to reinforce that we are comfortable, and we trust the current management. And what we have in our balance sheet reflects the work that we have been doing. We engaged lawyers, top notch lawyers that are very experienced in negotiations and in addressing lawsuits that are also strategic. And it is also important to remember that the growth that we had in our sales because of the launches is going to bring us to a profitable level that is healthy, sustainable, starting in 2021. Now going to slide 15. Here, you can see some more details about our gross margin. When you exclude the effects that I mentioned, you can see that our adjusted gross margin is about 30%. And in the last nine months, it was 33%. That's our adjusted gross margin, which is in line with our backlog margin, which is 34%. As I said earlier, that shows that although our portfolio has a portfolio, that is not what we wanted, and that's why we are launching new products for the next two years. Although the volume is not what we want, it is below what we are going to recognize in the future, what we are recognizing now has good margins that are in line or even a superior to our competitors. Now moving on to slide 16, you can see what we have already mentioned, which is our continuous efforts in terms of controlling fixed costs and pursuing efficiency. And this quarter, we decreased our costs by 15%. And it is about R$4 million per month. And we should remember that this structure is condensing the volume of operations that we have which is recognized as result, but it is also the same structure that is developing the future of the company in terms of acquisitions, and products that will be launched in the next 12 to 18 months, as Guilherme said, when he talks about our long and medium term land bank. Now on slide 17, you can see the details of our debts. As we said earlier, out of the R$745 million of total debt, 83% refers to projects, and R$71 million is working capital. But that working capital is impacted by a temporary effect because we have a bridge loan of R$150 million that is related to our securities certificates. So you are going to see that our working capital debt is going to be smaller because of that bridge loan that we signed before the issuance of the -- and this year is naturally related to projects and not working capital. And as we said earlier, this third quarter, in the third quarter we have we had our fourth capital increase showing the willingness of shareholders of increasing the company's capital, and R$220 million were used to strengthen our cash. And with that, we conclude our presentation. The presentation that we prepared for today and we are ready to take your questions. We want to provide you and convey to you the transparency and the sense of proposition that we have here at Gafisa. Okay, so now we are going to have our Q&A session.
Operator: [Operator Instructions] We have one question from Mr. Montero [ph] with Ginebra Capital. Raul [Ph], please, you can ask your question.
Unidentified Analyst: Hello. Good morning. I would like to know if the losses and the EBITDA which dropped, is it's a snapshot of the current moment where we are restructuring the company and moving towards a new model. Am I right? The company that you are creating is new and I would like to know if that’s the expectation for the next years?
Ian Andrade: Hello, Raul your question is very accurate. That's exactly the case. Our results for this quarter reflects the non-recurring adjustments that we have made, and they are related to our restructuring agenda. Those adjustments will not be happening again. And that's exactly what you said. Those adjustments were made this quarter to reflect how serious we are about solving the problems that we had in the past cleaning up the company so that we can grow in the future without having any strings attached to what happened in the past.
Unidentified Analyst: Okay, thank you very much.
Ian Andrade: Our pleasure.
Operator: [Operator Instructions] The next question comes from Mr. Marcello, a shareholder.
Ian Andrade: Good morning, Marcello.
Unidentified Analyst: Hello, good morning. I would like you to give some more color about the purchases that were published by the media. For example, Hotel Fasano and Itaim Bibi in São Paulo and the shopping mall in Rio de Janeiro. Were those purchases are those acquisition finished?
Operator: I believe that our speaker is not connected. Are you there, yeah?
Unidentified Analyst: Hi, I asked if the purchases that you had that you performed in Rio de Janeiro and São Paulo were finished?
Operator: I think that our speakers are not connected at the moment. So please, let's wait a few seconds for them to reconnect. Please stand by as our speakers reconnect.
Unidentified Analyst: Hello, I'm sorry, we had some technical difficulties here. Did you hear the question? Should we repeat?
Ian Andrade: No. Yes, we heard it. So Marcelo, please, can you repeat the questions?
Unidentified Analyst: This is Marcello. I would like to know if the acquisitions of the hotel and Itaim Bibi in São Paulo and the shopping mall, and Rio de Janeiro as the media publicized. I would now like to know, if those acquisitions were finished?
Ian Andrade: The acquisition of the shopping mall has not been concluded yet. It is a transaction that is at non-biting [ph] stage yet, so they have not been finished. And the acquisition of Fasano Hotel in São Paulo is more advanced. And I believe that today, it has been concluded, it has been finished.
Unidentified Analyst: Okay. Thank you very much.
Operator: The next question comes from Mr. Nicolas from [Indiscernible] 
Ian Andrade: Nicolas, good morning. Hello, Nicholas. I believe that you are on mute.
Unidentified Analyst: Hello, good morning. Thank you very much for taking my questions. I would like to piggyback on the last topic. We would like to know more about the company's strategy when it comes to the acquisition of those assets. Because those assets are not really related to the company's core business, which is development and construction. So I would like to understand a little bit better what your strategy is, when it comes to those acquisitions?
Guilherme Benevides: Okay. The strategy related to those acquisitions is related to Gafisa properties, our new business. Our strategy and our investment thesis for income assets, of course, we have two sources here of assets for that portfolio. The assets that we already have in Gafisa that were built by Gafisa and they will be profitable. And to here we are talking about small residential units and offices and stores that are already in our portfolio of developments. And when it comes to new acquisitions, the acquisitions that have been published by the market, but they have not being finished yet including the shopping malls and the Fasano Hotel, they are related to our strategy of finding assets that cannot be replicated in terms of location or turnaround opportunities. So fashion mall is an asset that checks the two boxes in our investment thesis. The location is excellent. And it is not replicable, because it is very large and it is in a location that is close to the beach. And it is in a district in Rio de Janeiro that connects two major districts. And it is also a turnaround asset, because it has lost his vocation as a shopping mall. And we are going to restructure that product. So, it can serve other purposes. We're going to decrease the size of the shopping mall. And part of the area will be redirected to a different purpose. It is going to -- it is not going to be a high-end shopping mall anymore. It is going to be a smaller shopping mall with a profile that's more targeted at the neighborhood population. And the other part of the asset will be dedicated to other uses. And we may use that asset for healthcare purposes or educational purposes and we are going to build the residential tower, consolidating that asset as a multi purpose assets. And the other shopping mall, it checks the turnaround box, it is neglected by the current management who has not invested in the shopping mall for a long time. And it is in a very good location, which is the region outside Rio de Janeiro. And it is an assets that the management has not invested in for a long time, the current management, so we are going to turn that asset around. And the Fasano Hotel is a great location. It cannot be replicated. It is the best assets in São Paulo right now. And we are purchasing that asset for a great valuation. And we are purchasing that asset in a valuation that's lower than it was before. And we don't have any construction risks related to that asset. It is going to be delivered as is to us. And as guarantees of performance, we have -- backing it up. So it is an asset that's ready to start performing. And it is associated with a high end brand, which is Fasano. So we believe that the Fasano Hotel is the best real estate assets in the marketing San Paolo. And we expect to that these asset is going to become more valuable as it starts operating. And remember that we don't have any construction risks related to that asset.
Unidentified Analyst: Okay. Thank you very much.
Guilherme Benevides: Thank you, Nicholas.
Operator: The next question comes from Mr. Enrico [ph] with Norte Capital.
Ian Andrade: Enrico, good morning.
Unidentified Analyst: Hi. Hello, good morning. I am from Norte Capital. And I would like to know if we exclude the R$40 million accounting adjustments and other allowances, what would the result be?
Guilherme Benevides: It would be R$3 million profits.
Unidentified Analyst: R$3 million.
Ian Andrade: Yes, exactly. That would be the net profit, R$3 million if we exclude the provisions and the accounting adjustments. Yes, exactly. And other items that are related to the past. The allowances are r$40 million. Yes, R$40 million. So you have to subtract S$40 million from the R$59 million. And you would be left with S$19 million in losses. And here we have amounts that are not accounting adjustments, but they are items that are impacted by what happened in the past. So if you exclude those, we would have a result of R$3 million profits.
Unidentified Analyst: Okay. Now, why am I asking that? I'm asking because I was not able to really separate the accounting adjustments from the results. But thank you very much. And what is your name again?
Ian Andrade: Ian.
Unidentified Analyst: Thank you very much, Ian. Bye-bye.
Operator: [Operator Instructions] The next question comes from Mr. Etalu [ph], a shareholder. Etalu, you may proceed.
Unidentified Analyst: Hello, good morning. Congratulations on the presentation. I have a question about the debt structure. Now with a new capital increase, what is the average cost of your debt?
Guilherme Benevides: Well, our average cost is about 8%. Including the new CRIs, the Real Estate Receivable Certificates. Yes, well, these certificates were issued at the CDI rate plus 6%, and the loan for Delfim Moreira, we also issued with CDI rate plus 3.5%. We also have other bonds that are about CDI plus 7% to 7.5%, and other bonds, other securities that are related to fixed income funds, I believe that they are all about the CDI rate plus 5% or plus 6%. So the average cost, of course, the money that we are raising is below our average cost. Our average cost is about -- it is reducing at the moment. And about the new initiative, the Gafisa properties. And could you give us some color or some guidance about the profitability and the size of the operations, that would be great?
Ian Andrade: Well, unfortunately, I cannot give you guidance about that business initiative, because it is still in its early stages. We're still prospecting assets, assessing the opportunities that we have. So at this moment, we cannot give you any guidance. Probably early next year, we are going to provide guidance for the company as a whole, not only properties, but also the core business as well as the real estate development business. So when it comes to guidance, I would like you to bear with us for some months, because we are still finishing those details about that. And we expect to disclose a more accurate guidance in the next month.
Guilherme Benevides: And this is Guilherme Benevides. Here Gafisa properties is a Gafisa company, but it is an independent company. We are working with the Gafisa properties in the income sector. And we are also working on real estate funds. And we cannot provide you any guidance at this moment. But I would like you to know that we are pursuing new assets and also real estate funds.
Unidentified Analyst: And could you give us some color about how significant you want this business to be or to become?
Ian Andrade: Well, this strategy of Gafisa properties brings a business impact for us. It makes our business more dynamic. It is an alternative for our assets under construction. Or it can be used to for us to be more active. It is going to be very relevant, very important in our everyday operations, so that we can put together better options for our clients and investors. Now, in terms of numbers, together with we have over R$3 billion in assets, in shareholders equity of R$1.5 billion. And I think that new business is not going to exceed 20% in the next 12 months. It's not going to exceed 20% of our business as a whole. And I'm talking about shareholders equity, okay, because they are income projects that have higher leverage potential than the development assets.
Unidentified Analyst: And if you allow me to ask one last question. About your expenses with lawsuits, if you could give us some guidance about the future for those expenses, the legal expenses, what would they be in a normal level? Or what do you expect for the volume, the overall volume of those expansions, that would be great?
Ian Andrade: Well, I don't think we should provide any guidance about that because the allowances that we have made for this quarter and some of the adjustments that we made in our allowances reflects the work that we have been doing for the past six months, not three months, six months, when it comes to the settlements of those lawsuits. So I believe that our allowances are very good. We trust that we made the correct allowances for those lawsuits.
Unidentified Analyst: Okay. Thank you very much.
Operator: [Operator Instructions] The next question comes from Mr. Paulo Campos [ph] with [Indiscernible] Sarte.
Unidentified Analyst: Hello. Good morning. This is Paulo Campos from [Indiscernible]. I wanted to know more about the shopping mall acquisition model, and also the Fasano Hotel acquisition model. I would like to know more about the payment schedule?
Ian Andrade: Okay. The Fasano Hotel transaction, we have an option, an acquisition option and it includes a due-diligence process and it is subject to the approval of our boards. We are pretty advanced in that transaction. And if it is confirmed, the payment flow for the Fasano Hotel will go up to December. We will have until December to pay. We have paid 10% of the amount, R$30 million as a prepayment to get the option. And if for any reason during the due-diligence, the transaction does not confirm itself, we are going to get those R$30 million back. And if it is confirmed the final payment for the acquisition of Fasano Hotel we'll have to be made by the end of December.
Operator: Please bear with us for a few moments. I believe that our speaker has disconnected. Please just wait and standby for a few moments. While our speakers reconnect. Please stand by while our speakers reconnect. Please stand by for a few moments, the reconnecting. I believe that they had some technical difficulties. I believe that our speakers are reconnected. I'm sorry, we had technical problems. So Paulo from Angel [ph] Asset is here with us. And Paulo, did you get our answer?
Unidentified Analyst: Yes, I got your answer about the Fasano Hotel. But I would like to know the same thing about the shopping malls?
Ian Andrade: I talked about the Fasano Hotel payment, which has to happen by the end of December, right? And that we have investors together with us in this transaction. We are not going to own 100% of the assets.
Unidentified Analyst: Oh, I had not gotten that.
Ian Andrade: Yes. We have to make the final payment by the end of December. And if we finish the transaction after the due-diligence process, if we confirm the transaction, the financial structure will include other investors as well. Gafisa is not going to sign every R$100 million check from our corporate cash. We are going to have 25% to 33% stake in the asset and the rest will be owned by investors that we have already identified. And our exposure, Gafisa's exposure will also be assessed in terms of leverage alternatives. And when it comes to the two shopping malls, the payment term, and the expectation for us to finish the transaction is longer. We have a longer due-diligence process. And the two assets are leveraged. They have that and the Itaú Bank is behind fashion mall. And we need the consent of investors to finish the transaction. And also, since it is the corporate acquisition and real estate acquisition, we need the approval by the Antitrust authorities. So the transaction if confirmed, will happened in the third quarter of 2021. I don't believe that we are going to confirm that transactions still this year. And since they are two assets that have debt. The cash disbursement from Gafisa is well I mentioned. And we want to capture the opportunities that we have to reposition those two assets.
Unidentified Analyst: Okay. Thank you very much.
Operator: Okay. The next question comes from 54:15 ___from GB Invest.
Ian Andrade: Good morning.
Unidentified Analyst: Hello, good morning. Good morning, Ian and Guilherme. We saw some increases in the price of raw materials, for example, steel. Do you think that is going to have an impact on your gross margins and those schedules of the deliveries?
Ian Andrade: Well, we purchased the raw materials beforehand, and also we negotiated with suppliers beforehand. So we are paying attention to the cost of raw materials. But the solution for that is to purchase raw materials beforehand and have a strong relationship with the entire supply chain, as that allows us to keep costs under control. And since we have a large volume of constructions and we also are going to start new constructions. We have good read negotiations with suppliers for now and for the future, so that we can keep costs under control.
Unidentified Analyst: Okay. Thank you very much.
Guilherme Benevides: And just as a compliment about the cost increase. From a financial standpoint, all purchase agreements for the construction period, our index to the NCC [ph] rates. And what is happening right now differently from what happened in the past where we had cost pressures in 2011 or 2012, where we had a cost pressure related to labor and workforce. Today, the INCC index is very effective for us to capture the increase of raw materials, for example, concrete, steel, plastic, copper, and the INCC index in the past, really didn't capture the cost pressure that we had. And that happens because the cost pressure that came from workforce. And, of course, we are sorry, we regret the level of unemployment that we have here in Brazil. But as developers, that shifts that we had in terms of labor does not create any cost pressure, and the INCC index does not capture that problem.
Operator: Okay. The next question comes from Mr. Fabio [ph], a shareholder, individual shareholder. Fabio. The floor is yours. Hello, Fabio, maybe you are on mute.
Unidentified Analyst: Hello, good morning. My question is about your strategy when it comes to the acquisition of Tecnisa. And also does your stake in Tecnisa have a negative impact on the results that you had in the third quarter?
Ian Andrade: Well, it is not really an acquisition. We were still defining the format of the acquisition. So the Tecnisa transaction is still in our reader. We are interested in having some sort of business relationship with Tecnisa. We believe that there is a significant value to be captured by the two shareholders and we still believe that. And we are now considering different approaches, but we are still interested in the assets. As we said on other occasions, we are only given up on that asset, when we believe that there is no amicable possibility to move forward with this transaction. We are not going to have a hostile acquisition. We don't want that. It cannot be hostile. Because if it is, we are going to -- we are not going to have an amicable situation. And we believe that would be detrimental both to Tecnisa and Gafisa. So the transaction is moving forward. And we are still trying to find an amicable approach. Now when it comes to the impact of our stake at Tecnisa on our third quarter results, we still have 5% stakes in Tecnisa. And that participation, that stake do not impact our results in the third quarter. Because it is a non-financial speculative investment. It is a strategic investment rather. And since we are significant shareholders in Tecnisa, we have an influence in the management of Tecnisa that are in line with the stake that we hold. So since we have that stake, and since we believe that that stake is not of a speculative nature, we did not have any impact from that stake in our third quarter results.
Operator: [Operator Instructions] We have the Gafisa's team here ready to take your questions. Okay. If there are no more questions, I would like to turn the floor over to Ian Andrade for his closing remarks. Ian, please, you may proceed.
Ian Andrade: Thank you all very much for your time and your participation in our earnings conference call. We are very proud to present those results. And we are very proud in the way we are conducting Gafisa's business. We are now a real estate platform pursuing growth discipline in the way that we make decisions, the way that we manage our financials. And we are developing the products with attention to details. Every acquisition is discussed in every single detail at every single level, here at Gafisa from the boards of the managers. So it is in that context that we are conducting Gafisa's business so that it becomes stronger, and that it resumes its leadership position in the Brazilian market. And so with that, I would like to thank you all very much and I'll turn the floor over to Guilherme Benevides for his closing remarks.
Guilherme Benevides: Well, thank you all very much for asking questions and for following what we are doing here at Gafisa. We are fully focused on making Gafisa a great real estate platform, so that we can offer all types of services and products, focusing on our development for a business, of course, but also focusing on other businesses across the entire real estate environment. So we are fully committed to Gafisa's transformation based on innovation. We want to be an innovative company, so that we can take back our position as a company that delivers results to its shareholders. The shareholders trust, we have been regaining trust and that is extremely important for us. And once again, thank you all very much for your participation. Have a good day.
Operator: With that, we conclude Gafisa's 3Q 2020 earnings conference call. Thank you all very much. And have a great afternoon.